Disclaimer*: This transcript is designed to be used alongside the freely available audio recording on this page. Timestamps within the transcript are designed to help you navigate the audio should the corresponding text be unclear. The machine-assisted output provided is partly edited and is designed as a guide.:
Operator: 00:03 Good morning, my name is Brandon and I'll be your conference operator today. At this time, I would like to welcome everyone to the GasLog Partners First Quarter 2022 Results Conference Call. All lines have been placed on mute to prevent any background noise. After the speakers' remarks, there will be a question-and-answer session. As a reminder, this conference call is being recorded. 00:23 On today's call are Paolo Enoizi, Chief Executive Officer; and Achilleas Tasioulas, Chief Financial Officer. Robert Brinberg from Rose & Company will you begin your conference.
Robert Brinberg: 0:37 Good morning or good afternoon, and thank you for joining the GasLog Partners first quarter 2022 earnings conference call. For your convenience, this webcast and presentation are available on the Investor Relations section of our website, www.gaslogmlp.com, where a replay will also be available. 00:57 Please now turn to Slide two of the presentation. Many of our remarks contain forward-looking statements. For factors that could cause actual results to differ materially from these forward-looking statements, please refer to our fourth quarter earnings press release. 01:11 In addition, some of our remarks contain non-GAAP financial measures as defined by the SEC. A reconciliation of these measures is included in the Appendix to this presentation. 01:23 Paolo will begin today's call with a review of the Partnership's first quarter highlights, following which Achilleas will walk through the Partnership's financials. Paolo will then provide an update on the LNG shipping and commodity markets. We will then take questions on the Partnership's first quarter. 01:38 With that, I will now turn it over to Paolo Enoizi, CEO of GasLog Partners. Paolo?
Paolo Enoizi: 01:46 Thank you, Rob, and welcome everyone to our first quarter conference call. Please turn to Slide four for GasLog Partners first quarter highlights. I'm pleased to report the Partnership achieved another strong quarter. The Partnership generated strong financial results in the quarter with noticable volatility in the spot market. Our fleet utilization remain high at approximately 99.4% despite the ongoing operational challenges created by the COVID-19 pandemic. 02:20 The Partnership is in good position to deliver results throughout 2022, both to our contracted cash flow and our spot market exposure in the seasonally strong months in the second half of 2022. We have in fact approximately $521 million in contracted revenues, including a recently signed 11 month charter for the GasLog Sydney at an attractive rate, above mid cycle. And we have 851 open days remaining in 2022, which we believe represents a material upside potential, given the tight market backdrop and our expectations for the balance of the year. 02:58 Finally, we retired $37 million of debt and lease liabilities in the quarter and repurchased another $10 million of our preference units in the open market, bringing the total repurchase to $28.4 million at par value on average since the repurchase program was initiated last summer. The result is a reduction in our breakeven levels, which enhances our free cash flow generation potential and continued progress in our leverage ratios towards our targets. 03:29 Turning to Slide five. The global focus on the availability of LNG has never been higher. The tragedy unfolding in Ukraine has highlighted the importance of LNG, not just as fuel that will enable the transition to a lower emission world, but also as a critical element of many countries energy security plans. The situation is unfolding at a time when the LNG market is already tight after two cold winters in Asia. Increased demand from Europe has caused gas prices to surge globally. This will likely lead to an increasing number of long-term supply agreements, backed by a regulatory environment that will almost certainly help to drive new LNG projects to FID and support the continued growth of LNG trade. 04:20 In the midst of these market dynamics we should mention that GasLog priority is to support the safety and well-being of our Ukrainian seafarers and their families through an attentive care and support program managed by our operation teams. I will provide further commentary on the markets shortly, but first, let me review the opportunity it creates for the Partnership. 04:43 On slide six, we highlight two charters we signed in recent months against an improved market backdrop. Both are with high-quality counterparties in Trafigura and Naturgy and will contribute the combined EBITDA of approximately $43 million during the contract terms. We have at least six vessels with contract expiring in 2023 and we expect charter them in an attractive level. 05:10 Turning to slide seven, you will see the cash the Partnership generated in the first quarter combined with our charter coverage for the year, more than covers our overhead and debt service obligations for 2022. This is of course before factoring in the potential upside for approximately 851 open days and 275 spot linked days, which will allow us to benefit from the strong term market and limited availability of an independently owned vessels. In this environment the Partnership will be able to take advantage of an excellent operation platform, and deliver tangible results. 05:47 Slide eight shows the potential we have to enhance our free cash flow in 2022 due to our near-term market exposure. As you can see from the chart on the left, approximately 85% of our open days are during the seasonally strong second half of the year. And 50% of our available days are open in the fourth quarter. As we continue to manage our cost base, our operating level increases and every $10,000 per day of revenue earned above our operating and overhead expenses will generate an incremental $11 million of EBITDA for the Partnership in 2022. I will speak about our market outlook shortly, but first, let me turn the call over to Achilleas, who will review the Partnership's first quarter financial performance.
Achilleas Tasioulas: 06:34 Thank you, Paolo. Turning to slide 10 and the partnership's financial results for the first quarter of 2022. Revenues for the first quarter were $85 million, a 2% decrease from the first quarter of 2021. The slight decrease in revenues was primarily due to 112 more spot days in 2022 compared to the first quarter of 2021 and lower daily time charter equivalent rates for these spot days as the premium winter spot market ended much earlier this year than in 2021. 07:09 Adjusted EBITDA was $61 million, a decrease of $3 million or 5% from the first quarter of 2021 due to higher operating expenses and general and administrative expenses, both discussed in the next slide in detail. Finally, our adjusted earnings was $0.41 per unit, which decreased compared to the first quarter of 2021 due to these higher expenses, as well as a year-over-year increase in the number of common units outstanding. Overall, we are pleased with our performance in the quarter as we continue to successfully manage our exposure in the spot market, rechartering our fleet at [indiscernible] and achieving an overall stable performance for the Partnership. 07:52 Turning to Slide 11 and a look at our cost base. Our daily operating expenses pre vessel were higher in the first quarter than both the first quarter of 2021 and the full-year guidance we gave on our last call. This was primarily due to a $1.4 million increase in crew costs, mainly related to additional COVID-19 related costs in 2022 due to enhanced safety protocols, crew extension bonuses to support our seafarers, travelling and extended quarantine days for seafarers prior to embarkation. This increase was partially offset by $400,000 decrease in the vessel management fees paid for our fleet in connection with a decrease of the annual vessel management fee payable to our manager. 08:40 General and administrative expenses increased by $1.5 million year-over-year. This increase was primarily related to an increase of $1 million in the administrative service fees to GasLog Ltd. for the full year and an increase in the public company expenditures compared to 2021, which was previously shared within GasLog Ltd and GasLog Partners prior to our parents take private transaction last year. Overall, direct public company expenses are now borne by the Partnership alone. The changes in the management and administrative fees are in line with our commentary in the previous quarter and as disclosed in detail in our 2021 20-F filed with the SEC in March 2020. For the balance of the year, we expect our unit operating expenses to average approximately $13,800 per vessel per day, while we expect our overhead expenses to average approximately $3,250 per vessel per date. 09:45 Slide 12 illustrates the progress the Partnership has continued to make in its preference unit repurchase program. During the first quarter, we repurchased an aggregate of $10 million of our preference units in the open market. Since the program was initiated in August 2021 the Partnership has repurchased more than $28 million in preference units at an average price of approximately $25 per unit at fair value. These repurchases have reduced preference unit distributions by approximately $2.4 million, or almost $0.05 per common unit on an annualized basis. We expect to continue opportunistically repurchasing preference units in the open market as conditions dictate. 10:33 Slide 13 shows the progress we have made towards our leverage target, which we first introduced in the first quarter of 2021. We have made good progress on these goals despite the $104 million non-cash impairment charge on our steam vessels that we took in the first quarter of 2021. Inclusive of $37 million of debt and lease principal repayments made in the first quarter of 2022, we have repaid $111 million in aggregate over the last four quarters. As a result, and despite the impairment in the fourth quarter, as I mentioned before, our debt to total capitalization has been reduced from 55% as of the end of the first quarter of 2021 to 53% as of the end of this past quarter. When combined with our $136 million of cash on the balance sheet, our net debt to capitalization has been reduced from 50% to 46% over the same period. 11:36 In addition, our net debt to trailing 12 month EBITDA has been reduced from 5 times to 4.3 times. We expect to continue strengthening our balance sheet, beginning with a scheduled retirement of approximately $114 million of debt and lease principal payments in aggregate in 2022, which is more than covered by our contracted cash flow over this period, reducing debt balances and making opportunistic repurchases of preference units will further reduce the Partnership's cash flow breakeven levels over time and increase our free cash flow generation potential, enhancing the partnership's equity value. 12:14 With that, I will turn it over to Paolo to discuss the LNG commodity and LNG shipping markets.
Paolo Enoizi: 12:21 Thank you, Achilleas. Turning to slide 15, 72 term charters were fixed in the first quarter of 2022 according to Poten. This figure includes 42 fixture for new buildings that have not yet been delivered. Persisting concerns related to energy security and logistical bottlenecks around the world have led charters to seek term coverage and certainty of shipping capacity. As illustrated in the chart on the right of the slide, headline spot rates have remained relatively stable in recent weeks, and tightness in the market is reflected in the relatively [indiscernible] period charter rates, which are well above last year's quarter one level, as well as the five year range. 13:02 The strength of the period market is being exacerbated by the lack of availability of independently owned vessels, thanks to increased demand for period charter since last year. Currently, the year charter rates are assessed at $150,000 per day for TFDE vessels and $62,000 for the steam vessel according to Clarkson. We believe this is indicative of a charter expectations for a tight market in the months ahead. 13:28 In addition, the forward curve for LNG spot rates indicates rising rates throughout 2022. A result of this fundamental drivers and fixing challenge, we expect the LNG carriers market to perform strongly through the next winter as I'll discuss over the next several slides. 13:46 Slide 16 presents LNG demand and supply during the first quarter of 2022. LNG demand increased by 7% in the first quarter compared to the same quarter in 2021, according to Wood Mackenzie. Demand growth from Europe was exceptionally strong in the first quarter, increasing by 56% increase year-over-year. The combination of overreliance on renewables, low inventory, and lower than anticipated imports from Russia and Norway, pushed demand for LNG resulting a record high prices in the region, underscoring the need for natural gas and LNG as both, transition fuel and important source of power generation in the evolving energy landscape. 14:27 In 2022, LNG demand is forecast to grow by 4.3% year-over-year. On the supply side, US production rose by over 24% year-on -year to 20.5 million tonnes due to higher utilization in response to increased demand and the ramp-up in production at the Freeport, Cameron and Corpus Christi, and most recently [indiscernible] LNG facilities. US exports are expected to continue to grow throughout the course of 2022 and beyond as new export infrastructure comes online. 15:03 Slide 17 demonstrates a significant cost increase for power generation in Europe and Asia since the end of 2020. Punctuated by high volatility during the past few months energy prices in Asia and Europe recently hit record high. Highlighting the need to further investments in natural gas processing infrastructure in recognition of this reality, the European Commission has added gas and nuclear power to the green taxonomy. The classification of the sources is a sustainable health enabler of steady and competitive supply of energy. Given its destination flexibility, LNG is the most versatile source of gas and will be essential to help achieve global emission reduction goals over the long term. 15:46 Europe entered this winter with relatively low inventory of natural gas, a situation made more [indiscernible] by the war in Ukraine. We expect this condition to continue to drive additional demand for LNG as countries begin to restock inventory and find a reliable alternative to Russian pipeline gas. 16:05 Slide 18 shows the forecast built in LNG infrastructure over the next several years. Remember, that the growth in seaborne LNG trade is enabled by infrastructure. This applies equally to growth in the number of vessels required to transport LNG and to the growth in both export and regasification infrastructure. By then -- by the end of 2026 [indiscernible] capacity is expected to increase by 130 million ton, and regasification capacity is expected to increase in almost lockstep by 128. 16:38 Despite Western Europe plan to increase its LNG imports, the majority of regas capacity is coming from Asia. Coupled with widely acknowledged forecast that the majority of supply capacity is coming from North America, tonne mile demand growth is likely to exceed the nominal growth in volume. At the same time, there is at least 70 new import project being considered by various Western European countries to increase import capacity. 17:05 Slide 19 displays the LNG carrier order book and delivery schedule according to Poten. Presently, the order book contains a 186 LNG carriers with over 80% having secured multiyear employment. As I mentioned, there is no unfixed vessels scheduled for delivery in 2022 and only two in 2023. Due to various factors, including increased demand for containerships and lack of available slots of the yards, delivery time for the new building order today is approximately three years, making the earliest delivery around 2026. 17:40 Competition for lots of the yard, as well as cost inflation has also pushed prices above $220 million, up more than 10% compared to last year. Despite a extremely large number of vessels in the order book, we expect there will be sufficient global demand for LNG to absorb these vessels as they are delivered without depressing the rate environment. 18:03 Slide 20 provides a forecast based upon two different historical multiplier of LNG vessel supply and demand by quarter to the end of 2023. The demand forecast are partly based on number of vessels needed to export 1 million ton of LNG per annum expected as a shipping multiplier. I should note that this analysis does not assume any vessel scrapping. The multiplier using the high vessel demand forecast is based on the historical US multiplier, and the low one is based on the first quarter 2022 vessel demand multiplier, which was impacted by the increased cargo going to Europe and the result in decrease in ton miles. 18:39 Although, there will be a relatively strong growth in global LNG shipping capacity, we anticipate that the growth of inter-basin trading will more than offset the scheduled deliveries over the next couple of years, resulting in a tight LNG shipping market through 2022 and 2023. 18:58 Turning to slide 22 and in summary. LNG is now recognized more than ever, not only as the stepping stone for energy transition, but also as a reliable and necessary source of energy security. Therefore, we expect a strong LNG demand to persist throughout the year and beyond as freight expand, facilitated by a significant infrastructure growth. Now, in this dynamic environment we're not only able to cover all our fixed obligation as we showed before, but also our spot exposure provides the opportunity to generate incremental cash flows in the expected tight shipping market ahead of us. 19:38 Finally, we continue to execute well on our strategy to build equity value to our shareholders and deleveraging our balance sheet, repurchasing a pref unit and we are opportunistically positioning the Partnership to evaluate opportunities for fleet modernization in this dynamic market. 19:55 With that, thank you for your attention and I'd like to open the call for questions.
Operator: 20:00 Thank you. We will now begin the question-and-answer session. [Operator Instructions] And from Webber Research we have Chris Tsung. Please go ahead.
Chris Tsung: 20:28 Hi, good afternoon, Paolo. How are you?
Paolo Enoizi: 20:29 Hi, Chris. I’m well. How about you?
Chris Tsung: 20:32 Good, good. Thank you. I wanted to just start off on Slide seven from your deck. Just wanted to make sure I'm understanding it correctly. If we're starting with the Q1 ‘22 adjusted EBITDA and then the contracted EBITDA for the next three quarters, let's call it, $140 million. And the gray bars after that, you talked about $160 million, which gets us to full year 2022 contracted adjusted EBITDA of roughly $40 million. Am I looking at that right?
Achilleas Tasioulas: 21:08 Yes. Actually what we are trying to say -- this is Achilleas. Sorry. What we are trying to say here is that, our contracted EBITDA is enough to cover all of our fixed obligations. And then on the other side of the slide we show what is the number of non-contracted spot vessels -- spot days. So, we are able to cover our fixed obligations and debt, OpEx and all that without contracted EBITDA and there is a lot of upside opportunity simply by having open days of 851 days in the seasonally strong part of the year. And we also have 275 days that are linked to the spot market, although they are fixed, but they have a floating element where there is an opportunity of upside by a stronger seasonal markets later in the year.
Chris Tsung: 22:02 Great. All right, great. Thanks, Achilleas. And on to slide 11, where you talked about cost control. I read in the 20-F that there were management agreement with GasLog of $46,000 a day for management fees and commercial manager fee of [365] (ph) per year per vessel. Is that the numbers for full-year ‘22 estimates and it's lower than what it was before. Is that right?
Achilleas Tasioulas: 22:36 Yes, we have rationalized the vessel management agreements, we reviewed all. And practically what we did is to reduce the vessel management fee and then increase the administrative fee that covers the G&A, but now that the Partnership is the only listed entity, it covers more public costs alone. So we have a decrease on the vessel management cost and an increase on the administrative costs. We also did a change on the commercial management fees obtained from a fixed fee to a commission. You will see it also in the 20-F.
Chris Tsung: 23:13 Okay. Thank you, Achilleas. And just one last final question then, just looking at your -- if we listen, vessels on charter nearly half of them are chartered to Shell [indiscernible] phase out Russian LNG purchases and also [indiscernible]. Just wanted to know if that or if any other vessels on time charter now in the near term have they been impacted by the conflict that’s currently going on in Ukraine and Russia?
Paolo Enoizi: 23:45 Yeah, it's Paolo here. No, we can answer positively, meaning we've had no exposure neither directly nor directly to Russian cargoes and hardly any exposure on the situation in Ukraine, apart from, as we mentioned the fact that we are supporting our seafarers who are exposed to it from a family point of view, but from a commercial point of view, we have no contract that brings us into Russia or impose us to call on Russia. So we have no exposure on this one.
Chris Tsung: 24:23 Okay. Great. Thanks, Paolo. And maybe if I could squeeze one last one in. Just on your capital allocation. What happens when you reach your leverage targets on slide 13? Could we see possibly an increase in distribution?
Paolo Enoizi: 24:38 Yeah, the -- Well, thanks for the call. And I think it's probably one of the I hate questions. And we look at it like this, the point is not just when we -- as you correctly mentioned, not when we achieve it, because that's a developing target, but when -- what does achieving this target do to the business. And as we mentioned, the target we have, we believe are the right one, because they sustain GasLog Partners through the cycle, because the shipping industry is still a very cyclical business. We can be more competitive and profitable every year and eventually we can have a very strong balance sheets at the end of all these target being achieved. 25:19 And then we -- our priorities are remaining these ones on the fact that eventually we will have to look at opportunities as they -- as they come up in the market. And as we also look to be rejuvenating our fleets. But all in all, the first commitment is to deliver it, as we call it, equity value to our shareholders and we believe the combination of these targets is the best way to sort of visualize it for everyone.
Chris Tsung: 25:50 All right. Great. Thanks, Paolo. Thanks, Achilleas. Have a good morning.
Paolo Enoizi: 25:56 Thank you, Chris.
Achilleas Tasioulas: 25:57 Thank you.
Operator: 25:56 From Jefferies we have Chadd Tribo. Please go ahead.
Chadd Tribo: 26:05 Hi, [indiscernible].
Achilleas Tasioulas: 26:05 Hi.
Chadd Tribo: 26:08 So you guys recently signed two new charters for the Sydney and Santiago for roughly a year each. So looking at the six vessels coming open in ‘22 is still remaining. Would you look to continue to look those on shorter-term charters or maybe look at some longer term options?
Paolo Enoizi: 26:27 Thanks. It’s Paolo. I think we're really looking at a combination. As you see now, the term market is relatively high. I mean, definitely higher than we've seen in the past years and surely in the past quarter 2021. The GasLog Sydney has been a testimonial of the fact that, if the opportunity arises then we are there to take it. And I think these opportunities will come to us even more frequently as we move into -- toward summer time and eventually quarter three -- quarter two and quarter three of this year. 27:03 So I think the tactic is to evaluate what is the best for the opportunity we have at hand and be open to take term business or spot business as it comes available. Given today's trends definitely term business is the most interesting of the two.
Chadd Tribo: 27:28 Got it. That is helpful. And then maybe just a quick modeling question, can you maybe quantify the expected annual savings from repurchasing the $10 million of preference units in the first quarter.
Achilleas Tasioulas: 27:41 Yes, we are taking this slide actually. Listen, on average we are paying [indiscernible] the half, let's call it coupon. So but at $10 million it is slightly less than $1 million. Up to now we have bought back $28 million. So this gives a $2.4 million annualized saving, which if you divide the $2.4 million with the number of common units that we have, it is $0.05 per unit.
Chadd Tribo: 28:13 Got it. Perfect. Well, thank you all. I’ll turn it over.
Paolo Enoizi: 28:17 Thank you.
Operator: 28:20 From Citigroup we have Chris Wetherbee. Please go ahead.
Q –Unidentified Participant: 28:23 Hi, thanks guys. [indiscernible] for Chris Wetherbee. Maybe we can just start a little bit broadly and you can walk me through the Russia-Ukraine impact. So how does it impact the day-to-day operations during the first quarter? And how does it restrict the movement of LNG cargoes for you guys?
Paolo Enoizi: 28:41Okay. So the impact – Hi, it’s Paolo. The impact we have on the quarter one is really all due to the COVID-19 pandemic persisting and the Omicron behind, which is -- which has hit us for additional costs as Achilleas has already explained. So we haven't seen -- and then the Partnership has not, let's say, being exposed to any kind of impact, direct impact for the situation developing in Ukraine and for the sanctions and, let's say, additional restrictions coming up in the market because of the Russian dynamics. So I think that's maybe part of the answer. 29:25 On the second part, from the LNG point of view. I mean I think we all see, as we mentioned, what's happening, energy security is now sort of top of mind together with LNG transition and LNG infrastructure are being looked at and deployed in Europe at an unprecedented rate. As you know, there is more than 90 million tonnes, which are being delivered every year of Russian pipeline gas, and the European Union has made important targets to achieve substantial reductions already at the end of 2022. And that only comes in by providing infrastructure developments, especially from FSRU on one side, and therefore importing a significant amount of LNG to this infrastructure. 30:20 I think one point on this is, last year we closed up with an overhang of FSRU in the market, which was approximately eight vessels. These vessels are now virtually all committed to being deployed in Europe. And keep in mind that, every one of these vessel, not only will leave the LNG charter market, but will also need four vessel that has a five million time per year capacity approximately five vessels each. So, I mean these are not fixed numbers, but I think it gives you the idea of what is the additional shipping capacity that we'll need to come if you only look at Europe alone.
Unidentified Participant: 31:01 Got it. That makes sense. And I heard you guys mention this, but maybe we can just -- I can get some more clarity from you in terms of securing capacity for the winter this year, what is -- what has been the strategies to make sure that you guys can do that?
Paolo Enoizi: 31:15 Sorry, I lost you. Securing capacity for?
Unidentified Participant: 31:17 The winter this year.
Paolo Enoizi: 31:22 Okay. Well, as we mentioned, I mean the -- if you see on the appendix, the amount of vessels or the vessels that we have open are actually coming open mostly on quarter three and quarter four this year. The vessel that we had open on early this -- well, that we had open and at that time was the Sydney and we fixed that already. The other vessels that are coming open, we have already entertaining enquires and we see that there is an increasing planned of asking term business from quarter three and quarter two onwards. 31:59 So we believe that the market will definitely sustain healthy rate, whether on the spot, which is due to come up as we approach the seasonally strong months a fall and winter, as well as term charter, because there's also a scarcity of independent ships available in the market and the amount of relapse will soon clean us as charterers and traders will eventually position themselves for winter.
Unidentified Participant: 32:33 I appreciate it. Thank you.
Operator: 32:37 From Stifel we have Ben Nolan. Please go ahead.
Frank Galanti: 32:41 Yeah. Hi, this is Frank Galanti on for Ben. I wanted to ask kind of a more market question on vessel speeds, given the really high price of fuel, where does the market stand from a vessel speed perspective? And is that sort of a split between the more efficient older steam vessels?
Paolo Enoizi: 33:06 Hi, Frank. I think what we can give you is the view from our deck and the view from our deck is, the vessel speeds has maintained until now generally at the level that we've seen before. So our vessels are typically sailing at around between 14.3 and 14.8 knot. That was the consolidated figures that we also reported in our ESG record, so that's another source where you can find this information. That is not an even picture, however, typically older vessels are speeding up in the winter time and slowing down in the, let's say, quarter two and maybe quarter three months. 33:51 We haven't seen any developments on this part. I think what we see is that, charterers are instructing us to burn fuel oil or diesel oil when they need to move rather than burning heal. I think it makes sense, because they are trying to utilize the molecules as much as they can for the saving rather for the fuel.
Frank Galanti: 34:22 Okay, that's interesting. Thank you very much. And then I guess more to the Partnership, specifically this is sort of a two-parter. Towards the end of the presentation, you had mentioned fleet modernization. Just kind of wanted to get more color on what that sort of looked like? And then secondly, is it -- is there anything that you can do to improve the steam vessels performance in order to better compete with newer equipment?
Paolo Enoizi: 34:55 Okay. Yeah so fleet modernization is, I think, it's a topic that eventually is in the outlook for the Partnership. We believe that our steam vessels are above, let's say, our steam vessels are among the most modern and the largest of the steam vessels around there. And to remind you, the steam vessels are still accounted for the third of the overall fleet. However, there is no hiding, these vessels are not as efficient in the overall trade as the modern two stroke engines, but there are terminals and place where these vessels makes sense and are still very competitive. 35:35 So I think from that point of view, eventually we'll be looking at the best way to deploy the steam vessels and eventually the modernization will start from, if not, accretive acquisitions, maybe sort of a changeover from the steam vessels to more modern tonnage. And that's something that I think it makes sense in the outlook for the Partnership. 35:57 And with the regards of the efficiency. As I mentioned, our 145 steam vessels are the largest we have and they are relatively young. So we believe that they are a good alternative to compete, especially in ad hoc trade with the other vessels on part. So our vessels are very well maintained. You can see the emission statement also in the ESG part. There is also, I think an interesting overall debt story, and I'll leave it to Achilleas to mention on this one. It is not specifically operational, but I think it's interesting.
Achilleas Tasioulas: 36:43 It is interesting [indiscernible] because we have lower debt balances on these things, and this means that they have a lower breakeven levels. And our strategy to reduce our balance sheet fast actually makes them even more competitive. So all of these make these things operating with lower breakeven in a much more competitive LNG shipping market that we project the years ahead. So I think it works. 37:20 I think, Pablo, there was another element [indiscernible].
Paolo Enoizi: 37:24 Can you hear us, Frank.
Frank Galanti: 37:28 Yeah, I just didn't know you had ended. That might have been cut out, but that's super helpful. That's all I had. I really appreciate the answers. Thank you.
Paolo Enoizi: 37:39 Thanks, Frank.
Operator: 37:43 Thank you. We will now turn it back to our speakers for closing comments.
Paolo Enoizi: 37:50 Okay, thank you everyone for today. Thank you for the questions and for listening and for your continued interest in the Partnership. We really appreciate it. We look forward to speaking to you in the next quarter. And really, really looking forward to seeing you all in-person soon. In the meantime, stay safe and if you have any questions, please contact our Investor relationship teams and Rob. Thank you all and have a great day today. Bye.
Operator: 38:21 Thank you. Ladies and gentlemen, this concludes today's conference. Thank you for joining. You may now disconnect.